Operator: Good day. Thank you for standing by and welcome to Linamar First Quarter 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Linda Hasenfratz, Executive Chair and Chief Executive Officer. Thank you. Please go ahead.
Linda Hasenfratz: Thanks very much and good afternoon, everyone and welcome to our first quarter conference call. Joining me this afternoon are members of my executive team, Jim Jarrell, Dale Schneider, Roger Fulton, Mark Stoddart and some members of our corporate IR, marketing, finance and legal teams. Before I begin, I'll draw your attention to the disclaimer currently being broadcast. I'll start off with a review of sales, earnings and content. Sales for the quarter were US$1.78 billion, flat to last year despite soft light vehicle markets and continued supply chain constraints. Net earnings were US$96.3 million, normalized to US$70.9 million after removing the impact from the sale of unused land in the quarter and exchange impact. Earnings are down significantly in comparison to last year, mainly due to massively higher costs and supply chain challenges, as well as a lack of government subsidies. Our Industrial segment had a tough quarter, thanks to supply chain constraints impacting MacDon's ability to ship products and increasing costs for both industrial businesses. Skyjack was up in sales over prior year which, in combination with price increases imposed in both industrial businesses were enough to more than offset MacDon decline on the top line. That said, higher costs related to material, labor, freight and utilities had a major negative impact to the bottom line in both of our industrial businesses. The auto sector also had a tough quarter, thanks to supply chain issues our customers were experiencing, notably the war in Ukraine which had an impact on production in Europe, in particular, as well as the ongoing shortage of semiconductor chips which continues to trigger shutdowns for our customers. The European light vehicle market was down 18% over last year, North America is down 1% and Asia flat to last year. Launches helped temper our declines to just 1.7% over prior year. Again, higher material, energy, freight and labor costs had a huge impact on the segment, as did the lack of government subsidies with earnings down significantly from prior year. Obviously, this is not a sustainable situation and we are working closely with our Mobility customers around pricing relief for what are clearly ongoing cost challenges. We saw strong growth in content per vehicle in our core North American and European region which is great to see. Launches are part of that, as our vehicles we have high content on being selectively prioritized for builds by our customers. It's noteworthy as well that automotive sales actually increased in both Europe and North America, despite significant reductions in volumes in the region. Clearly, launches have played an important role in that performance. Commercial & Industrial sales were up 0.5% with growth ex Skyjack and price increases at both Skyjack and MacDon almost offset by a declines at MacDon related to supply chain issues. Skyjack again saw market share gains in all three core products in North America which, coupled with the market up in double digits is translating to some solid sales growth for Skyjack. MacDon also is seeing strong market demand but supply chain constraints are impacting their ability to sell into that robust market. The good news is they should be able to recoup those sales in subsequent quarter as supply chain issues ease. CapEx continues to climb back to higher levels to support launching business. 2022 will be up significantly from 2021 and in our normal range as a percent of sales. Normally, Q1 is not a quarter we see free cash flow due to the drain on working capital as sales start to recover from a low point we normally see in Q4. Our continued strong cash management has meant we still generated a small amount of positive free cash flow in the quarter. This marks our 16th consecutive quarter of positive free cash flow which I think is excellent. We expect to see continued positive free cash flow for the full year this year and next year. We have US$1.9 billion of liquidity available to us at this time which is also outstanding. Our strong balance sheet and liquidity means we have the ability to take on -- takeover work or acquisitions as they arise in an increasingly opportunistic market which will, of course, drive even more growth for us. The solid cash flows has allowed us to further strengthen our balance sheet. We're still in a net positive cash position at US$110 million compared to a net debt level of US$309 million last year. We did purchase shares back under the NCIB in the first quarter but were unfortunately quite restricted to doing so for only about a week given the two acquisition deals that were announced in the last eight weeks which forced us into blackout fairly quickly after we announced the last quarter. We consider our shares significantly undervalued and plan to be very active in the NCIB program just as soon as our blackout ends. So let's turn to an update on some of the headwinds we're facing at the moment around supply chain issues, energy cost, logistics and labor shortages. Turning to an update on areas of disruption, we're seeing improvements in some areas, for instance, chip shortages are resulting in less shutdown, shipping costs are starting to moderate, some commodity prices are also starting to moderate but unfortunately others continuing to climb and supply chain availability is still mixed. Labor availability continues to be a challenge primarily in North America and most acutely in the U.S. You can see here the impact of semiconductor chip shortages which is improving. Total impact to 2021 was 9.6 million units of lost production, with the peak impact in the third quarter of last year. Since then, the impact to planned production has declined but it hasn't been eliminated. Q1 saw an impact of 1.2 million units, almost half the level of last quarter or the fourth quarter of last year and a bit better than Q1 last year. Q2 impact to date is around 400,000 lost vehicles. This situation will not resolve until additional capacity for chips gets put in place which starts to happen in the back half of this year and more meaningfully early next year. The war in Ukraine has impacted primarily Europe in terms of lost production and is sitting at about 300,000 lost vehicles thus far. The majority of the vehicle impact is in Germany and, of course, Russia and the hardest OEMs, Volkswagen, Hyundai and BMW. It feels like this impact is starting to level off as alternate suppliers [indiscernible] or as suppliers in the Ukraine restart production. This remains an area of concern, of course, depending on the outcome. As an aside, I'm proud to say that Linamar and our employees have collectively donated more than US$400,000 this year to support the Ukrainian freedom fighters against Russian oppression. Continuing with challenges, we continue to see a mixed impact on the commodity front. For instance, steel plate leveling off but other commodities such as aluminum continuing to climb. Although metal market adjustments in the Mobility business helped to offset these changes, they do not offset 100%. And with this magnitude of change, we are feeling the impact, most deeply really in our casting business. The investment business deals have faced the full brunt of these costs. The only offset for them is price increases, some of which as noted have already been imposed in the Industrial business and also, as mentioned, we are in discussion on the Mobility side around price increases. We're also seeing a big issue in the ability of suppliers to meet demands, notably on the industrial side which impacts not just costs but our ability to meet production needs for a rebounding market. It's also very disruptive on the productivity side which is part of what is driving labor costs up. These challenges are continuing at both Skyjack and MacDon but I'd say a little bit more pronounced on the MacDon side. These charts will give you a sense to that disruption. The right-hand chart shows you the number of red tagged header units through our line at MacDon which simply means the unit was built but it's missing something and has to come back to the line later to be completed for shipments. Now the good news is the trend is definitely down in terms of red tags but you can get a sense of how disruptive the issue has been for MacDon over the past few months. The issues of shortage of purchase parts, as illustrated by the left-hand chart, again, improving, so should be in a better position coming into Q2 and Q3 in terms of our ability to complete units on the first half through the line. It is in MacDon's estimation, that shortfalls to shipments being felt in Q1 can be caught up in subsequent quarters but, of course, this is very supplier dependent. Ocean freight costs are still a big challenge. We are seeing costs leveling off in Europe, a little bit of a trend down in Asia but it is very dynamic and unpredictable. We do believe these costs will normalize with time as we get farther into this year and next year. Energy costs are a major issue, notably in Europe but starting to become more of an issue globally. Natural gas prices in Europe are up massively over last year and for that matter, what we've seen for the last decade as you can see by this chart. We're certainly feeling the impact of that in our European plants, especially our foundries and again our pursuing cost relief for such from our customers. I expect energy costs will be an ongoing issue. We were already seeing pressure on energy prices given reduced supply, thanks to declines in investment in fossil fuel energy and an insufficient offsetting increase in investment in alternative energy, coupled with increasing demand. And now with additional supply constraints, thanks to the war in Ukraine, we're feeling more and more pressure on energy costs. Now on the positive side, energy costs for us are typically only 1% to 2% of sales in most of our facilities in the machining and assembly facilities but it is higher in our foundries. So it isn't a massive weighting in our cost structure but even something small can have a big impact if the change is substantial which is exactly what we're seeing. We're at the same time actively engaging our plants in energy conservation and off-grid energy projects to try to reduce our dependence and costs. The worry is it feels like the higher energy costs are here to stay. This chart looks at, demand which is that dotted line on the top which is outstripping supply, as illustrated by the bars, for the next seven years, all the way out to 2030, hence the need for pricing adjustments notably for our casting business. Finally, we're seeing a real shortage in availability of labor at the moment. Acceleration of retirements, insufficient immigration and lingering effect of COVID on the number of workers is the issue. This puts pressure on costs, of course, in terms of wage inflation but also in terms of higher recruiting and retraining costs. Unfortunately wage inflation is not something that you would consider transitory. So just to summarize on the challenge side, the war-related supply challenges feel like they're largely solved or will be soon. Higher labor and energy costs are likely here to stay. Shipping costs in some commodities are tapering back but others, notably aluminum, still rising and better supply of chips in the back half of the year and early next year. I'll turn now to a market outlook. Market demand is strong pretty much across the board at the moment which is great news and expected to be strong next year as well. Unfortunately supply chain issues are constraining the industry's ability to deliver that demand, notably on the industrial side. With strong underlying demand, we will be looking at a sustained period of strong performance for some time after these issues get resolved. Turning to the specifics details. The industry experts are predicting growing light vehicle volumes globally this year to 14.7 million, 16.5 million and 44.2 million vehicles in North America, Europe and Asia, respectively. This represents double-digit growth in North America and single-digit growth in Europe and Asia. 2023 should see high-single-digit or double-digit growth in all regions. Semiconductor chip supply, war-related supply chain issues, mainly in Europe and China lockdown continue to create volatility in customer schedules which is putting predictive volumes at risk. Industry experts are predicting on-highway medium-heavy truck volumes to be solidly up again in North America this year with more moderate growth in Europe and a decline in Asia. Next year will see contraction in North America and Asia but growth in Europe. Industry experts predict double-digit growth in the access market globally this year in all three regions of North America, Europe and Asia and high single-digit growth globally next year. Our backlog at Skyjack is up meaningfully from prior year at nearly 2.5x, thanks to this robust market demand. Delivery of orders is being impacted by supply chain challenges. However, as we work through these issues, we feel confident we can grow Skyjack sales in double digits this year and next year based on this strong backlog and strong market conditions. Lastly, the agricultural industry is predicting solid growth in the combine draper header market this year in double digits in North America. Europe and the rest of the world will also grow but at a more moderate 5%. We're also seeing solid pickup in the windrower market this year, again, with 7% growth in North America but 20% to 25% growth in Europe and Australia. The order book at MacDon is up over last year, with the farmers feeling more confident with persistently strong commodity prices. Meeting demand, as noted, is a big challenge for MacDon. That said, our current forecast is for double-digit sales growth this year and continued sales growth next year for MacDon on the back of this solid market growth, continued market share growth and that strong backlog. Looking at a little more detail on the auto side. You can see inventory levels in North America has continued to languish well below historic levels. They're sitting at only 26 days at the end of April. What this means is, regardless of consumer demand, we are in for a sustained period of strong production levels just to replenish inventory once supply chain issues are resolved. The industry is predicting at least two years just to refill the pipeline regardless of demand. And looking at production levels compared to what was forecast on our last conference call, you can see a somewhat weaker Q1 really [indiscernible] Europe, thanks to supply issues related to the war. Q2 is almost two million units less than what we forecast to you back in March. And that is continued supply chain impact but also a big impact from COVID shutdowns in China. Nevertheless, Q2 should be up from Q2 last year by about 2%. For the full year, 2022 is also expected to be a little worse than what we thought back in March but still better than 2021. Looking at the access market in more detail, you can see first that all three markets show very strong double-digit growth over prior year in the first quarter. And as noted, we expect double-digit growth this year and a similar picture in 2023. Utilization in Europe over the first quarter has continued to follow the strong trend seen over the second half of last year, resulting in the highest Q1 utilization levels seen since 2019 for equipment out in the field. In North America, utilization of equipment is slightly down over the first quarter but it is trending upward month-to-month. In the ag business, Q1 combine retails in North America are down over prior year, thanks to the supply chain issues. Despite the slow start, as noted, we expect the market to grow this year and next tax for both draper headers and windrowers. Turning to an update on growth and our outlook. You'll be pleased to know that we had another outstanding quarter in new business wins. In fact, it was a record Q1. I will highlight a couple of our more strategic wins in a moment. Electrified vehicles continue to provide great opportunities for us. We had a huge quarter in terms of business wins for battery electric and hybrid electric vehicles. In fact, in just one quarter this year, our net business wins -- our new business plan for electric vehicles are almost double what they were for all of last year. Momentum is clearly building in our portfolio of these important vehicles of the future. At this point, close to half of book sales in 2026 in our Mobility business is not for internal combustion engine vehicle powertrains. That's a huge shift from only 25% in that category in 2021. With respect to launches, we're seeing ramping volumes on launching programs which are predicted to reach 40% to 50% of mature levels this year, generating incremental sales of US$500 million to US$600 million. Next year, we'll see incremental sales growth of US$700 million to US$800 million. These programs will peak at nearly US$4.4 billion in sales. We saw a shift of nearly US$190 million of programs moving from launch to production last quarter which was obviously much more than offset by very strong business wins in the quarter. As usual, we're summarizing all of these expectations on our outlook slide that is now being displayed. Despite the challenges we are facing, we are still expecting to see double-digit growth on the top line and in earnings per share in 2022. We expect to see double-digit top and bottom line growth next year as well; this derives from double-digit growth at both Skyjack and MacDon this year, coupled with launches in a growing market on the Mobility side. Next year, we're going to see continued growth in both segments as well. Net margins will contract somewhat compared to last year on the back of those higher costs. Material, energy, freight, labor costs, all weighing on results and though improving in some areas, are worsening in others. Next year, net margins will expand back into our normal range. We will also see continued positive free cash flow this year and that's leading us in an excellent position from which to drive further growth. Looking specifically at Q2, you should expect a meaningful improvement in sales, normalized earnings and margins in comparison to Q1, driving out of the Industrial segment. Overall sales will be up from Q2 last year but earnings will be flat to down somewhat based on the much higher cost levels that are being experienced. Sales in the Industrial segment will be up meaningfully, both sequentially to last quarter and also in comparison to last year as supply chain issues start to get somewhat better. Margins will be better than Q1 but not as good as Q2 last year due to the much higher cost levels that are being experienced. On the Mobility side, customer vehicle build losses will continue to weigh on sales with sales at best flat to the first quarter of this year but up from last year. You should expect meaningful margin deterioration in comparison to the first quarter of this year. Higher costs, of course, are continuing to weigh on margins but that's exacerbated by the fact that high-margin sales from China which is shut down because of COVID shutdown, will be replaced by losses of at Mills River until our acquisition of the balance of the facility from our partner was accounted for below the only line in investment losses. But as of April 1, it's going to be included as part of operations in terms of both sales and profit which is part of having an impact on margins and within Mobility segment for W2. Roger would like me to remind you that the situation is very dynamic and impacts are not fully determinable in terms of their impact at this point. Notable risk areas are supply chain, COVID lockdowns in China and to some extent the war in Ukraine. We had an exciting quarter in terms of strategic acquisitions, the culmination of some months of work. First, as just referenced, we acquired the remaining 50% interest in our light metal high pressure die cast joint venture facility with -- the joint venture with Georg Fischer in Mills River, North Carolina. That acquisition closed on April 1. This was a critical acquisition for us as this facility is the flagship of our structural casting strategy, key to growth in electrified vehicles. Structural parts are one of the four key pillars of our eLIN electrification strategy. The business generates about US$130 million in sales and is continuing to launch products. The facility is still in startup mode and not yet profitable. We expect it will be profitable by 2023. For a sense of the loss, you only need to look as far as the investment gain/loss line on our financial statements which until now obviously represented half the losses. Rapidly moving the facility into the black is a key priority for us and the team is confident in their ability to do so by next year, with improvement each quarter starting in the back half of this year. This facility is focused on large, lightweight aluminum and magnesium casting. Its competitive capabilities include high-tonnage pressures ranging from 2,200 metric tonnes up to 4,400 metric tonnes and the ability to pour both aluminum and magnesium for lightweight structures. The facility is a leader in casting complex, structural components as a single piece that would have previously been a multicomponent assembly. This process provides stronger structural components that are significantly lighter weight, a key advantage for customer applications, notably in electrified vehicles. Secondly, we've made a second exciting acquisition announcement in the agricultural space with an agreement to acquire the Salford Group. Salford is a global leader in crop nutrition, application and tillage products. The Salford product lineup includes both pneumatic and spinner-type fertilizer spreaders, cover crop seeders and a range of tillage equipment. Salford's products are engineered and built to be durable, innovative and complementary to mainline OEM products, with distinct performance advantages related to higher productivity, greater efficiency and environmental sustainability. The company has been able to leverage technological development and precision agriculture to allow producers to manage their crop production with an ever-increasing level of accuracy. Salford's team has 33 top R&D professionals who launch new products every year, all focused on enhancing soil productivity and yield potential in the growing precision agriculture market. Salford is the only company in North America carrying a full line of surface and subsurface granular applicators that's spinner spreaders as well as air boom spreaders for surface applications and then pneumatic applicators for the subsurface applications. Salford has over 500 employees in five facilities in Canada and the U.S. Annualized revenues are in the US$165 million range. The business is profitable with EBITDA margins in line with that of our Industrial segment performance. EBIT levels will depend on finalizing accounting treatment of the purchase price which will happen over the next few months. With an anticipated closing date in Q2 of this year, Linamar will report six to seven months of financial results associated with this acquisition this year. And finally, we signed a deal in the quarter with the city of Tianjin to establish a Skyjack facility in the region. The market in China has been steadily growing for access equipment and the time is right for us to be manufacturing in China for this dynamic market. We expect to start producing equipment by the end of the year out of our existing facilities and then have the new plant up and running next year. Moving on to new business wins on the Mobility side. I'll highlight a few of our more interesting wins this quarter. First, we won a huge program for PTU and RDU for a high-voltage, hybrid HDV platform. The volume will hit 500,000 units per year and will be extremely meaningful from a revenue perspective. This was a massive win for us that we've been targeting for months and I'm really proud of the team for getting it over the finish line. Secondly, we saw another meaningful program win for a variety of battery electric vehicles in aggregate nearly US$140 million in annual sales. This is for a variety of customers in a variety of locations in North America, Europe and in China. Third, we saw some significant gear wins for, again, hybrid electric vehicles, representing close to US$80 million a year in revenue. Again, the wins were for a variety of programs, a variety of customers, to be produced in both France and Germany in Europe and also China. And finally, we saw some interesting wins for camshaft for a highly fuel efficient engine program. We continue to target some internal combustion engine products, such as these while remaining very strategic in terms of customer terms and the flexibility of any capital use to consider future volume declines. ICE business can be profitable if it is approached in such a way to mitigate our risk. Turning to an innovation update. It's an update this week we are excited to be showcasing our latest developments in electrified mobility at the ACT Expo in California. The Advanced Clean Transportation Expo has become a premier industry event that highlights the future of commercial vehicle and fleet technology in battery electric, fuel cell electric, as well as alternative fuels. Our eLIN Rolling Chassis concept which you can see pictured here is a technology demonstration unit that features several of Linamar's electrified capabilities all in one application, a Class 2 light pickup truck's platform chassis. Through our technology partnership with Ballard, this unit is powered by the Ballard 100-kilowatt fuel cell system. That power is delivered to the wheels by our eLIN Utility Duty eAxle. The hydrogen fuel is stored in our FlexForm conformable tank module and a high-voltage battery enclosure is a design made possible by eMatrix, our battery pack technology partner. We're truly thrilled to be able to exhibit all of these eLIN capabilities in one place at such a major industry event, all centered around electrified mobility. We're sure to catch the attention of our OEM and commercial vehicle fleet customers. At MacDon, the evolution of engineering continued from the strong foundation in mechanical and hydraulic systems to more advanced electrical and smart customer interfacing technologies that can control an area network, allow for an improved operating user experience, for instance. This integration system creates two-way communication between the header and the combine control system which will be speedy as more futures become automated in the future. As skilled combine drivers become more scarce, obtaining optimal productivity at the harvesting process is going to require these advanced technologies to make sure there's minimal loss to the systems. Incorporating smart technologies like this will continue to set MacDon apart from its competition in the future. Skyjack's latest innovation is also centered around smarter user-focused technologies. We've highlighted a popular ELEVATE telematics package in the past. The ELEVATE operator continues to be enhanced with improved battery management systems, diagnostics, for instance. Skyjack's advantage in the marketplace has long been its overall cost of ownership spread is light, something that's critical for our rental customers in order for them to efficiently manage their own business operations. Battery replacements are one of the highest cost maintenance items throughout the scissor lift's usage -- useful life. By targeting this area to provide owner operators with better battery charging advice as well as accurate and immediate data for replacement increases the customer value proposition that they get from a Skyjack product solution. Finally, we continue to execute on our global digitization journey with more and more connected machines, data connections and robots being commissioned in our global plants every day. And with that I'm going to turn it over to our CFO, Dale Schneider, to lead us to a more in-depth financial review. Over to you, Dale.
Dale Schneider: Thank you, Linda and good afternoon, everyone. As Linda noted, Q1 was a tough quarter for sales and earnings with the continuation of the supply chain issues impacting sales and other cost, issues further impacting earnings. Despite these challenges, Q1 was another solid quarter and we were able to maintain our strong balance sheet and grow our strong level of liquidity to US$1.9 billion since Q1 2021. For the quarter, sales were flat to US$1.8 billion. Earnings are normalized for FX gains or losses related to the revaluation of the balance sheet and any potential other issues that may have occurred. In the quarter, earnings were normalized for FX gains related to the revaluation of the balance sheet and this impacted EPS by 7%. Earnings were also normalized for a gain on disposal of unused land as Linamar had no need for a foreseeable future. The gain on disposal impacted Q1 EPS by US$0.32 per share. Normalized operating earnings for the quarter were US$106.5 million. This compared to US$221.3 million in Q1 last year, a decrease of US$114.8 million or 51.9%. Normalized net earnings decreased US$87.4 million or 55.2% in the quarter to US$70.9 million. Fully diluted normalized EPS decreased by US$1.33 or 55% to US$1.08. Included in the earnings for the quarter was foreign exchange gain of US$5.9 million which resulted from a US$5.5 million gain on revaluation of operating balances and a US$400,000 gain due to the revaluation of finances balances. As I mentioned, the net FX impact for the quarter on EPS was US$0.07. From a business segments perspective, Q1 FX gain of US$5.5 million related to the revaluation of operating balances was the result of an US$8.1 million gain in Industrial and a US$2.6 million loss in Mobility. Further, looking at the segments, Industrial sales increased by 5.7% or US$19.9 million to US$368.2 million in Q1. The sales increase for the quarter was primarily due to the higher access equipment sales driven by strong volumes in North America for all three product families, higher sales prices achieved to help relieve some of the current supply cost pressures and these were partially offset by lower agricultural sales due to supply and cost issues impacting our abilities to produce products and finally a negative impact on sales from the changes in FX rate since last year. Normalized Industrial operating earnings in Q1 decreased US$32.5 million, or 70.8% over last year to US$13.4 million. The primary drivers impacting Industrial losses were; the ongoing supply chain issues impacting raw materials, labor, freight and utility cost; the reduction in agricultural sales; the negative impact of FX rates; reduced government support related to COVID that we received last year. And these were partially owned by an increased contribution from the strong access equipment volumes and the price increases obtained in the quarter. Turning to Mobility; sales decreased by US$23.7 million over Q1 last year to US$1.4 billion. The sales decrease in the first quarter was driven by the market impact from the supply chain issues which continue to impact our customers. The impact of the negative changes in FX rates last year and these items were partially offset by the increase in material pass-throughs through pricing and increased volumes of launching programs and other certain mature programs that were in high demand. Q1 normalized operating earnings for Mobility were lower by US$82.3 million or 46.9% over last year. In the quarter, Mobility earnings were impacted by the ongoing supply chain issues. As I mentioned, the raw material, labor, freight and the utility cost increases, the supply chain related issues that are impacting our customers, the reduced government support related to COVID, the negative impact of FX tax rates and these were partially offset by the improved volumes from launching in certain mature programs. Turning to the overall Linamar results. The company's gross margin was US$198.2 million, a decrease of US$114.5 million compared to last year due to the same factors that [indiscernible]. Cost of goods sold amortization expense for the first quarter was US$105.6 million. COGS amortization as a percent of sales decreased to 5.9%. Selling, general and administration costs increased slightly in the quarter to US$91.7 million from US$91.5 million. This increase is the result of the relaxation of global travel restrictions which is naturally allowing us to increase travel by visiting our customers and suppliers. We also saw increased charitable donations in the quarter and these were partially offset by a reduction in management compensation as a result of the lower sales and earnings. Finance expenses decreased US$7.1 million since last year, primarily due to the one-time FX impact from the replacement of the previous series of Private Placement Notes that expired in January '21 with the new Euro notes that mature in 2031. We also saw a lower interest expense as a result of this significantly lower debt levels since Q1 last year and this is also partially offset by lower interest on the decline in long-term receivable balances. The consolidated effective interest rate for Q1 was 2%. The effective tax rate for the first quarter decreased to 24.5% compared to last year primarily due to the decrease in non-deductible expenses which is partially offset by an unfavorable mix of foreign tax rates. We are expecting 2022 full year effective tax rate to also be in the range of 24% to 26% and consistent with the 2021 full year tax rate. Linamar's cash position was US$903.9 million on the March 31st, an increase of US$232 million compared to March last year. The first quarter generated US$62.5 million in cash from operating activities which is used primarily to fund CapEx, share buyback and debt repayments. As a result, net debt to EBITDA decreased to a negative 0.12x in the quarter from 0.31x a year ago. Q1 2022 is actually the third consecutive quarter in a row with a net cash position. Based on our current estimate which includes the announced acquisitions and the share buyback programs, we are expecting 2022 to maintain a strong balance sheet and leverage is expected to remain low. The amount of available credit on our credit facilities with 957.6 million at the end of the quarter. Our available liquidity at the end of Q1 remained strong and grew to US$1.9 billion compared to last year. As a result, we currently believe we have sufficient liquidity to satisfy our financial obligations during 2022. To recap sales and earnings for the quarter was the story of supply and other cost issues. The supply shortages continued to hamper OEM production requirements which significantly impacted Mobility sales and earnings. Similarly, the supply chain shortages are impacting the Industrial segment sales, as they are limiting our ability to produce and deliver finished goods to our customers. Other supply cost issues such as commodity prices, labor, logistics and energy issues also continue to impact both segments. Despite these challenges, we were able to grow our liquidity to US$1.9 billion compared to last year. That concludes my commentary and now I'd like to open up for questions.
Operator: [Operator Instructions] Your first question is of the line of Mark Neville from Scotia Bank.
Mark Neville: Maybe just for us on the inflationary pressures, Dale or Linda, do you have an approximate or an estimate for how much of the headwinds you're facing this year in terms of dollars -- dollar amount from inflationary pressures?
Linda Hasenfratz: Yes. We haven't disclosed a specific dollar amount for what we're facing. But I can tell you, it is a significant part of why earnings were down compared to last year. Sales are pretty flat to last year and earnings down US$100 million [ph]. And the majority of that is related to these cost issues.
Mark Neville: Right. Okay, that helps. Just on pricing, just so I understand, in Mobility, you're getting some relief from metal pass-through but nothing else for inflationary pressures, stuff like freight, labor. Am I reading that or understanding that correct?
Linda Hasenfratz: Yes. So the metal market pass-throughs are something that's been in place for a very long time, right? So that's a natural mechanism. When it comes to other inflationary costs, increases like logistics or labor or other material cost increases or in energy, there is no such natural mechanism. So it's a matter of going in and having to negotiate pricing with the customers. So we're absolutely doing that but that takes time to realize.
Mark Neville: Yes, of course. Would you expect to get a lot of this back or -- not back but I'm just curious we've heard from some companies, I guess you're getting various different communication on how much they can get back. I'm just curious your confidence level and how that works out through the year and certainly pricing has to play a part.
Dale Schneider: I think every customer is going to be in a unique situation because we have different relationships with every customer. So, obviously, our whole idea is to sit down with them and each one has buckets that you have to go through. As Linda mentioned, there's material and material has many facets to it, different indices in it, So typically we pass through but things that have moved so far, material pass throughs are another big area. Of course, base materials are big area, labor issues, logistics issues, energy issues. So what you do, Mark, is you bucket all this in, you sit down with the customer and you go through the cost side and then you see how much we could achieve back through indices and negotiation and then also we would look at them from a growth perspective, strategy perspective and say here we can make a deal. So, I can say that every one of our customers have been talked to in the Mobility side. We're working through those diligently with our commercial teams and our business unit leaders. And as Linda said in her formal notes, we are doing this, right? And I think, it's -- everyone is in the same position. That's on the Mobility side. The Industrial side, we annually set our prices accordingly. And, of course, we didn't anticipate all the supply chain and cost issues. So some of that's not baked in but definitely some of it is, yes.
Mark Neville: Sorry. So you said you set pricing for Industrial quarterly or annually?
Dale Schneider: Annually. You basically sit on an annual basis and then you work through it.
Mark Neville: Got it. Maybe just one last one for me. Just on capital allocation, I understand you're blacked out for most of the quarter with M&A but just maybe your thoughts on a buyback or an NCIB [ph]. Obviously, your stock price is pretty cheap arguably and I think you would agree. So just thoughts about that.
Linda Hasenfratz: Yes. As I stated, we think that share price is significantly undervalued and we will be aggressively in the market with our NCIB just as soon as our blackout ends on Monday.
Operator: Your next question comes from the line of Peter Sklar from BMO Capital Markets.
Peter Sklar: Dale, first a question for you. What is normalized EPS after taking into account this real estate transaction?
Dale Schneider: Normalized EPS is US$1.08 backing out the gain and the FX.
Peter Sklar: Okay, great. And in that short window on the end where you were, the NCIB was available to you, how many shares did you buy back during the quarter?
Dale Schneider: 179,000.
Peter Sklar: Okay.
Dale Schneider: It was the maximum -- we bought the maximum for the days we were allowed to trade.
Peter Sklar: Okay. And Linda, I hate to do this to you but when you provided the Q2 guidance, it was just so fast and furious, I didn't get it all and I got kind of confused, what was guidance for the overall company, guidance on the segments. Do you mind going through that again?
Linda Hasenfratz: Yes, sure. So you can see it displayed still on the screen now. So if you look at the left-hand side, I'm kind of summarizing what are our expectations...
Peter Sklar: I'm on the road.
Linda Hasenfratz: Oh, I see.
Peter Sklar: So that's why I missed it.
Linda Hasenfratz: Okay. So Q2 is going to be a lot better than Q1 but it's all going to be coming out of the Industrial segment. So we do think sales will be up from Q2 to last year but earnings are going to be flat to down. And that's really because of these higher cost levels that we're experiencing. So if you look at the segments, sales in the Industrial segment are going to be up meaningfully from Q1, also up from prior year because we do feel like supply chain issues are going to be starting to get better. We think that margin in Q2 will be better than Q1 on the Industrial side but not as good as Q2 last year because those higher costs are still in place. Even as we're getting some supply relief, we're not getting cost relief. And then on the Mobility, sales at best flat to last year but will be up from prior year. But sorry, at best last Q1 from prior year. But you should expect some pretty meaningful margin deterioration compared to the first quarter and that's because, as I was explaining, we've got lower sales in China because of COVID shutdown which are high margin and they're being replaced by. sales from our Mills River acquisition which is not profitable at the moment. So that's weighing on margins for the second quarter in comparison to the first.
Peter Sklar: Okay. And just like the overall guidance for the quarter, you say expect it to be better than Q1 on stronger Industrial sales. So you say sales are up I think you're saying but earnings are down and that's the comparison to Q1. Did I summarize it correctly?
Linda Hasenfratz: No.
Peter Sklar: Okay.
Linda Hasenfratz: Sales, earnings and margins are going to be up meaningfully from Q1. Sales will be up meaningfully from Q2 last year on growth in both segments but earnings are going to be flat to down somewhat compared to last year.
Peter Sklar: Okay. So earnings are up versus Q1 but flat year over year.
Linda Hasenfratz: Yes, flat to down.
Peter Sklar: Okay, got it. And then why is it -- I can't recall. You may have discussed this in the last conference call but why is the apply change issue so much more significant in your -- in MacDon than it is for Skyjack? Is supply chain that much more complex with respect to MacDon?
Jim Jarrell: There's more complexity in the parts and the configurations. So that does drive some greater delays and things like that. Skyjack is not immune. Both Skyjack and MacDon have the same issues, Peter. It's just that MacDon, as you just cited, has more complexity and configurations. That really is the bottom line to that.
Dale Schneider: And also keep in mind that most of the supply base is not -- is unique. Also, the supply chain issues are supplier dependent.
Jim Jarrell: Yes and we've had some carry over same supplier issues at both MacDon and Skyjack but typically those ones are resolved. But as Dale said, the unique piece is what really drives it is complexity.
Peter Sklar: Yes, okay. And then lastly these wins on battery electric vehicles, are any of them electric axle components or systems?
Jim Jarrell: Yes.
Peter Sklar: And is any of that Tier 1 or is it -- is it more gearbox work?
Jim Jarrell: It's gearbox work.
Linda Hasenfratz: So we saw a variety of wins for both battery electric and hybrid electric. So a variety of products, some drivelines, like the biggest ones were on the driveline side for sure and PTU and RDUs for other vehicles.
Peter Sklar: Okay. Got it.
Operator: Your next question comes the line of Brian Morrison from TD Securities.
Brian Morrison: Well done in a challenging environment. But I have a couple of clarification questions first, if I can. So Georg Fischer, the Mills River is currently in -- it's for Dale but currently in equity pickup. It's not included in operating earnings now. It's going to now go into operating earnings and be a slight drag on margin but you look to move it to profitability in 2023. Is that correct?
Dale Schneider: That's correct. It was below operating earnings. It will be now in operating. And keep in mind, that we'll now pick up 100% of it, whereas historically we only picked up 50%.
Brian Morrison: And is it just scale that needs to drive that to profitability, Dale?
Dale Schneider: The facility has pretty much been in launch mode for a number of years, so it's a managing through the launch curve. We've been lucky in that the site has been very popular with customers. We won a lot of business but it means a lot of [indiscernible].
Brian Morrison: Got it.
Linda Hasenfratz: For a foundry, Brian, it takes a little longer to get to breakeven than a machining plant. But certainly, challenging conditions that are facing the whole industry have not been helpful. So getting the future profits is definitely a key priority for us.
Brian Morrison: Right. And Linda, maybe following along on clarification. Slide 16 you've got this MacDon supply disruption. I don't understand what the Y-axis is. I think the message here is that you have partial units through in inventory and so that impacted scale and efficiencies in Q1. and then as you GO -- those should go out the door in Q2 and that should lead the Industrial margins back towards a normalized level in the quarter. is that correct?
Linda Hasenfratz: So, Slide 15 is showing you that the number of incompleted headers that were built on the line. So you can see that it's trending down but it does have some volatility. It's kind of up and down, right? Overall trending down but still seeing some volatility there. So we do think it's getting a bit better. The graph on the left shows you shortages of parts, how many part shortages did they have in that particular week. Again, that is trending down. So that's a good sign. It's not completely out of the woods but it is why we feel like we can recoup some of the lost production and therefore sales in the second quarter and that should help the margins to improve. So MacDon sales getting back up will help a lot on the margin side and get us closer to normal margin level, so a lot better than Q1 but not as strong as Q2 last year.
Brian Morrison: Right. But still towards the lower end of your normalized range I think is the message. Correct?
Linda Hasenfratz: Yes, correct.
Brian Morrison: Okay. I understand that now. And I guess just in terms of your cadence to margins in the Industrial segment, you've got it going back to or being steady for the year but it's admittedly a very slow start. When you look at parts availability or freight or pricing negotiations where commodities are, do you have visibility into those at this point in time or is that if things are to normalize, you'd get back to that margin?
Linda Hasenfratz: It's based on our current outlook. So, for sure, there's risk around the supply chain. Our expectation is that things are going to improve. So this is our current expectation that we'll see the margins improving in the second quarter and that the overall result for this year will be probably pretty similar to what we saw margin wise last year. But is it -- is the supply chain a wildcard? Yes.
Jim Jarrell: And our pricing is set for this year with our customers, we have contractual obligations in the Industrial side. So we did have forecasting and prediction and did have price increases and relief that we anticipated. So anything that goes outside of that, above that, those will be a drag but hopefully we have most of that covered.
Brian Morrison: But those negotiations take place in the fall I believe we talked about that before, Jim and I think pressures have gotten worse. I guess my question is are you anticipating more price negotiations and is that baked into your margin forecast?
Jim Jarrell: Yes. From a supply side, we're in negotiations all the time with our suppliers right now and we try to lock it in as well for the years, so that we're locked in for our pricing with our customers and locking in with our suppliers as well. But, again, some of the price pressure on our suppliers are not allowing them to hold that. And so anything that we go offside will not get passed on to the Industrial customers this year. So we just can't go back to the customers on the Industrial side.
Brian Morrison: Okay. And then, sorry, Linda, one last question. I want to follow up on Mark's question. I think we all agree here that on a normalized basis, you guys are undervalued and you mentioned you're going to be very active with the SIB. Your expectations are well above consensus and your balance sheet is obviously able to facilitate it. Why not do an SIB?
Linda Hasenfratz: Yes. I don't think the time is right to do something substantial from a buyback perspective where we still have millions of shares we can buy back under the NCIB. We're going to be actively doing that and we think that there continues to be a lot of opportunities out there in terms of growth. And I don't want to use up all my dry powder on a massive and not to fight back when we could be looking at some interesting acquisitions for our businesses.
Brian Morrison: Got it. Appreciate the color.
Operator: Your next question comes from the line of Krista Friesen from CIBC.
Krista Friesen: Just to follow up on the acquisitions that you brought up there. I was just wondering what you're seeing in the market. Are you seeing a lot of motivated sellers just as they have to contend with inflation and the labor issues and what areas are you looking at a little bit more closely?
Linda Hasenfratz: Yes. I think there's a lot of opportunities out there that companies looking to make a change. In terms of things that we're interested in, you've already got a flavor for it in terms of our agricultural business, for instance, on the nutrition side which is the move we made with Salford. On the Mobility side it's all about increasing our product portfolio for electrified vehicles, so the more product that we can have, that is not powertrain, the more growth potential we have. So that's obviously going to be a priority on the Mobility side is something that's going to bring us additional sales and help us to continue to grow that percentage of our sales that not powertrain in the future. And then for Skyjack, it's all about Asia, right? So we're trying to get on the grounds in China. We've signed a deal for a greenfield site there. How can we continue to grow in other global centers and what do we need in terms of a product lineup to do that in various areas of the world? So those would be our priorities from an acquisition perspective.
Krista Friesen: That makes sense. And just on the Salford acquisition, would there be synergies there with MacDon and would you look to maybe expand Salford's geographic footprint to something similar to that of MacDon?
Linda Hasenfratz: Well, for sure there are synergies with MacDon. They're both agricultural businesses. They from that a purchasing perspective, fighting perspective, supply chain perspective, there's going to be opportunities for suppliers on both sides to get a bigger buy. That's something we've done frankly between MacDon and Skyjack as well and absolutely growing the Salford business on a global basis is going to be a key part of the strategy.
Jim Jarrell: Yes. I think again, I think Linda hit it there, the Skyjack, when we bought MacDon we levered those two companies together because they've got similar type of businesses. So we'll collect the three of them now, Skyjacked, MacDon and Salford together and do the same thing and certainly bringing forward our global operating systems that'll bring synergies as well. And then even on the dealer network side, there's a great complementary dealer network that we have that we can overlap and then also regional expansion that we can utilize both technologies through those dealer networks.
Krista Friesen: I appreciate your time. I'll jump back in the queue.
Operator: [Operator Instructions] You have a follow-up question from the line of Mark Neville from Scotiabank.
Mark Neville: Just a point -- a couple of points of clarification. Jim, for Industrial, all the pricing is fully set for this year. Is that correct?
Jim Jarrell: Can you just say that again? You said the pricing is...
Mark Neville: Is it set for the year in Industrial?
Jim Jarrell: Yes, fixed for this year. Yes.
Mark Neville: Okay. Okay. And then a follow-up to Krista's questions on the synergies for Salford. Was there any opportunities in footprint rationalization or is that not necessary?
Jim Jarrell: Could be but really in the Salford side, they've got two plants basically in Ontario. They've got one in Georgia, one in Iowa and one in Manitoba. So there could be some synergies but a lot of them are really specific to that local region for that product for distribution through the dealer network. So we've got to be cautious on that because this is some big equipment being moved around and made, right? So you don't want to create an issue by doing that.
Linda Hasenfratz: And also with locations in strategically important areas from a farming perspective.
Mark Neville: Yes, fair. And last question. Linda, you said something during the prepared remarks about your EV backlog. I don't know earlier your book of business that's electrified. I thought it was something to the effect of half for 2024, 2025, both [indiscernible]. Maybe I misunderstood. I'm not sure if you remember or even...
Linda Hasenfratz: Yes. Close to half of our sales out in 2025, 2026 is it not internal combustion engine powertrain. So it's for hybrid, it's for electric vehicles, or it's for non-powertrain areas of the internal combustion engine vehicle.
Mark Neville: Got it.
Operator: Your next question comes from the line of Brian Morrison from TD Securities.
Brian Morrison: Sorry, I just wanted to clarify Salford. The acquisition multiple I think you said, was in line on a normalized basis. But is Salford experiencing the same issues as MacDon at this point in time, like are the margins depressed and you expect them to improve through the year as well? Or is it a different dynamic?
Jim Jarrell: I would say that they've had similar issues but not to that extent on the supply chain side for sure. I think they have more inside insourced in their control. So I think they've had better luck on that to be perfectly blunt and they have more local suppliers. MacDon has out of country global suppliers which creates a different perspective. But they've had some issues as well that have hurt some of their volumes going out the door but not to that level.
Brian Morrison: And when things normalize, hopefully, sooner rather than later, I presume that they have margins similar to that at MacDon.
Linda Hasenfratz: What I said in my comments was that they have margins similar to that of our Industrial segments on the EBITDA side. So that MacDon and Skyjack are not the same. MacDon is different. So as you know, our normal range of operating earnings or EBIT for Industrial is 14% to 18%. The normal range for EBITDA would be probably more like 15% to 20%. So they will be in that same ballpark.
Brian Morrison: Understood.
Linda Hasenfratz: And obviously, running at the lower end [indiscernible] at the moment just given some of the issues that Jim just went through.
Operator: There are no further questions at this time. I would now like to turn the call back over to Linda Hasenfratz for closing remarks.
Linda Hasenfratz: Okay. Thank you so much. Well, to conclude this evening, I'd like to leave you with three key messages. First, I can't help but say again how excellent a quarter it was for new business wins, strongest Q1 in our history, nearly 75% of that for electrified vehicles which is absolutely outstanding and the key to our future which is now dramatically skewing in terms of our product mix. Secondly, we saw our 16th consecutive quarter of free cash flow, thanks to continued excellent cash management which leaves our balance sheet in solid shape for continued investment. And finally, two acquisition deals executed or announced in the quarter have fully started our year off on a strategic high note. So thanks very much, everybody and have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.